Operator: Good afternoon and welcome to the F5 Fourth Quarter Fiscal 2020 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Also, today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'll now turn the call over to Ms. Suzanne DuLong. Ma'am, you may begin.
Suzanne DuLong: Hello and welcome. I'm Suzanne DuLong, F5's Vice President of Investor Relations. François Locoh-Donou, F5's President and CEO; and Frank Pelzer, F5's Executive Vice President and CFO will be making prepared remarks on today's call. Other members of the F5 executive team are also on hand to answer questions during the Q&A session. A copy of today's press release is available on our website at f5.com, where an archived version of today's call will be available through January 25, 2021. Today's live discussion is supported by visuals which are viewable on the webcast and will be posted to our IR site at the conclusion of today's discussion. The replay of today's call will be available through mid-night Pacific time October 27 by dialing 800-585-8367 or 416-621-4642. Use meeting ID 6055259. For additional information or follow-up questions, please reach out to me directly at s.dulong@f5.com. Our discussion today will contain forward-looking statements which include words such as believe, anticipate, expect and target. These forward-looking statements involve uncertainties and risks that may cause our actual results to differ materially from those expressed or implied by these statements. Factors that may affect our results are summarized in the press release announcing our financial results and described in detail in our SEC filings. Please note that F5 has no duty to update any information presented in this call. With that, I will turn the call over to François.
François Locoh-Donou: Thank you, Suzanne, and good afternoon, everyone. Thank you for joining us today. While fiscal year 2020 was not the year that any of us expected, I speak for the entire executive team when I say how proud we are of the F5 team for delivering a very strong year under extraordinary circumstances. Our results show building momentum in our pivot to a software and subscription-driven business. They also show the value of our incumbency, the strength of our customer relationships and the stickiness of our solutions. In the last several years, we have aligned our investments with our customers' most pressing priorities. As a result, we have built close to $450 million software product run rate business, but in FY 20202020 grew 52%. With $365 million in fiscal year 2020 revenue, the strength of our software business more than offset a decline in our systems business, which was down 10% for the year. Our services business grew 5%. For the year, we delivered 5% non-GAAP revenue growth and 5% non-GAAP product revenue growth. Today, our customers face exploding application growth and the reality that users expect more than they ever have from applications. Our customers' business depends, not just on whether their application loads, but how quickly it responds and whether it and its users are secure. New ways of working and the higher expectations for application performance have customers focused on solutions that enable them to work smarter and scale faster. We believe we are ideally positioned to serve this demand. Frank will review our fourth quarter and fiscal year financial results and our outlook. I will then speak to our fiscal year 2021 growth drivers, including some customer highlights from the quarter. Frank?
Frank Pelzer: Thank you, François, and good afternoon, everyone. I will speak first to our fourth quarter and then to our fiscal year results before discussing our outlook for FY 20212021. We delivered a very strong Q4. On a GAAP basis, Q4 revenue was $615 million. Fourth quarter non-GAAP revenue of $617 million was up approximately 4% year-over-year and above the high-end of our $595 million to $615 million guidance range. Please note, as I review our revenue mix, I will be referring to non-GAAP revenue measures. Q4 product revenue of $280 million was up 6% year-over-year and accounted for approximately 45% of total revenue. Software revenue was $113 million, growing 36% against a very tough comparison of 91% growth in the prior-year period. Shape contributed approximately $23 million in the quarter. Excluding Shape's contribution, software grew 9% again against a very tough comp in the year-ago period. As we look ahead, we are seeing very positive trends in our software business and expect a much stronger software growth in Q1. I will speak to that in greater detail, when I discuss our Q1 guidance. Software continues to grow as a percent of product revenue, representing 40% of product revenue in Q4, up from 31% in the year ago quarter. We also continue to drive subscription revenue momentum. Subscriptions represented 76% of software revenue in the quarter compared to 66% in the year-ago quarter. Services revenue of $336 million grew 3% year-over-year and represented 55% of revenue. Revenue from recurring sources, which includes term subscriptions as a service and utility-based revenue as well as the maintenance portion of our services revenue totaled 66% of revenue in the quarter. This is up from 63% in the year-ago period. The improvement comes largely as a result of the strong subscription software momentum I mentioned previously. Systems revenue of $168 million was down 8% compared to last year. On a regional basis in Q4, Americas delivered 4% revenue growth year-over-year, representing 58% of total revenue. EMEA delivered 9% growth, representing 24% of revenue. APAC was down 1% year-over-year and accounted for 18% of revenue. Looking at our bookings by vertical, we saw robust enterprise activity in the quarter, with enterprise representing 70% of product bookings. Service providers accounted for 15% and government customers represented 16% of product bookings, including 70% from U.S. Federal. Let me now share our Q4 operating results. GAAP gross margin in Q4 was 81.8%. Non-GAAP gross margin was 84.4%. GAAP operating expenses was $404 million. Non-GAAP operating expenses were $335 million. Our GAAP operating margin in Q4 was 16% and our non-GAAP operating margin was 30.1%. Our GAAP effective tax rate for the quarter was 20.4%. Our non-GAAP effective tax rate was 19%. GAAP net income for the quarter was $78 million, or $1.26 per share. Non-GAAP net income was $150 million, or $2.43 per share. I will now turn to the balance sheet. We generated $175 million in cash flow from operations in Q4. Cash and investments totaled approximately $1.3 billion at quarter-end. We repurchased approximately 358,000 shares of F5 common stock in the quarter at an average price of $140 per share for a total of approximately $50 million. DSO was 43 days and capital expenditures for the quarter were $12 million. Deferred revenue increased 6% year-over-year to $1.3 billion. We ended the quarter with approximately 6,110 employees, up approximately 90 employees from Q3. Let me now turn to our full-year 2020 results. For the year, GAAP revenue totaled $2.35 billion. Non-GAAP revenue grew 5% to $2.36 billion. Non-GAAP product revenue of approximately $1 billion grew 5% from the prior year and accounted for 44% of total revenue. Within product revenue, software grew 52%, while systems revenue declined 10%. Subscriptions represented 71% of software revenue in fiscal year 2020 compared to 55% in fiscal year 2019. Revenue from recurring sources totaled 65% of revenue for the year, up from 60% in fiscal year 2019. Services revenue of $1.32 billion grew approximately 5% during the year and represented 56% of total revenue. Our non-GAAP effective tax rate for the year was 20.2%. GAAP net income for FY 20202020 was $307 million, or $5.01 per share. Non-GAAP net income was $575 million, or $9.37 per share. Now, let me share our guidance for the first quarter and some high-level modeling assumptions for fiscal 2021. Unless otherwise stated, please note that my guidance comments reference non-GAAP metrics. In our Q1 and fiscal year outlooks, we have attempted to factor in the expected impact of continued global uncertainty related to COVID-19 and the broader economic trends as we understand them to date. Let me start with sharing our expectations for the first quarter of 2021. Near term, we expect customers will continue to prioritize investments that enable them to serve the immediate needs of their customers and employees. We also anticipate continued focus on an investment in application security. We expect to benefit from being a trusted and operationalized partner of the largest enterprises around the world, as they continue to drive innovation and agility with our application strategies to increase business value. With this in mind, we are targeting Q1 FY 2021 non-GAAP revenue in the range of $595 million to $615 million. We expect Q1 2021 gross margins of 84.5% to 85% and we estimate operating expenses of $324 million to $336 million. We anticipate our effective tax rate for Q1 will be in the 21% to 22% range. Our Q1 earnings target is $2.26 to $2.38 per share. We expect Q1 share-based compensation expense of approximately $56 million to $58 million. As for our capital deployment, we retain the option to repurchase shares opportunistically in any open trading window. Now, let me share some of our operating expectations for the full fiscal year of 2021. We have made tremendous progress on our software transition and expect momentum to continue as the contribution from subscription software and SaaS grows. Accounting for this progress in fiscal year 2021, we expect to grow software revenue for the full year by more than 35%. Based on our strong Q1 software pipeline and increasing momentum from our software subscription offerings, we expect a software growth rate of at least 50% in Q1. We expect systems declines will moderate slightly compared to FY 2020 likely declining high-single digits for the year. We anticipate gross margins of approximately 85% for the year. We expect to achieve at least 31% non-GAAP operating margin for FY 2021. We also expect operating margins to move down from Q1 to Q2 and then to increase in the second half of fiscal 2021 following our typical seasonal pattern. We anticipate our full fiscal year effective tax rate to be in the range of 21% to 22%, with some fluctuations quarter to quarter. We expect fiscal year 2021 stock-based compensation in the range of $230 million to $240 million and capital expenditures in the range of $40 million to $60 million. We expect to update our longer-term outlook at our Analyst and Investor Meeting which we will conduct virtually on November 18. Please remember to pre-register on our Investor Relations site. With that, I will turn the call back over to François. François?
François Locoh-Donou: Thank you, Frank. It has been more than three years since we unveiled our strategy to transform F5. In the process of extending our reach and expanding our role, we have built the broadest available application security and delivery portfolio and significantly expanded our addressable market. As a result, the foundation of our business has grown stronger and we are on our way to becoming a predominantly software driven company. Going forward, our software growth will be more diversified, thanks to a broader and growing subscription and SaaS based revenue. We have a renewal flywheel that is starting to turn with momentum and true forward revenue opportunities on a sizable portion of our long-term subscription contracts. Demand for subscription based consumption is growing across all geographies and verticals. As Frank mentioned, 71% of our fiscal year 2020 software revenue was subscription based, up from 55% in 2019. We expect continued software momentum in fiscal year 2021 and I will speak to our growth drivers in turn. First, core BIG-IP software, much of the software growth we have delivered thus far comes on the back of BIG-IP. I have spoken previously about the extensive work we have done to reduce friction in purchasing, deploying and managing BIG-IP software. We have focused on flexibility in our commercial models and on enhanced automation in central management. During Q4, customers chose BIG-IP to refresh core business applications as well as for capacity additions. In one instance, a multinational delivery services company chose BIG-IP to handle both increased traffic to its consumer facing dot-com site and to scale back end processing. Looking ahead, we expect continued growth from BIG-IP driven by customers' need to support and scale mission critical traditional application in hybrid and multi-cloud environment. Our second growth driver is Nginx. Nginx brings multiple growth vectors to FY 2021 and beyond. In addition to continuing to expand Nginx Plus instances, we see increasing customer interest in Nginx controller, our modern app orchestration and analytics platform. Controller is complementary to BIG-IP and bridges the divide between desk teams building modern apps and the infrastructure teams that need to secure, scale and monitor them. We are also opening new application security opportunities with Nginx and App Protect, our vast solution for modern application. Nginx next App Protect, enable security professionals and developers to introduce application security early in the development lifecycle making security part of the modern app stack. In Q4, we secured an Nginx App Protect win with a major video conferencing and collaboration platform. Nginx already is a key technology for this customer enabling them to scale that platform to meet explosive COVID-19 demand. With that explosive growth, however, also came, increased security concerns. Nginx's ability to scale rapidly with no impact on service delivery was a key differentiator. As with our ability to meet a wide set of requirements in a cloud agnostic way including load balancing, caching and security with App Protect not only did this when expand our existing footprint with the customer. It also positions us to capture additional use cases, including protecting login pages and preventing credential stuffing [ph] which shape solution. Use cases like this one enabling best-in-class security on modern application architectures are gaining momentum and we believe accelerate the appeal of Nginx to large enterprises. That provides a good transition to our third growth driver, application security. Application security is a large and growing focus for customers and understandably so. In the current environment, organizations are more reliant than ever on applications to enable employee collaboration and customer engagement. At the same time, the attack surface and sophistication of attacks has increased dramatically. During FY 2020 web application firewalls, remote access and SSL orchestration and fraud protection led customers' security demands. As an example, during Q4, we secured a cloud win with a retailer with a significant dot-com presence. BIG-IP virtual additions outperformed both a cloud native load balancing and web application firewall solution. As a result, the customer doubled its F5 consumption in just the first year of its multi-year term subscription. We expect the application security demands we have seen this year persist and grow in FY 2021. As a result, we expect to expand our leadership in the space. Our ability to apply consistent and robust security across multi-cloud environments is fulfilling a significant and growing customer need. Within the context of application security, we also see Shape as a significant software growth driver. Customers are looking to Shape's AI and machine learning enabled defense capabilities to protect against a growing number of threats, both bot and human. Shape already has been a strong contributor and a great addition to the F5 portfolio. In the roughly nine months, the Shape team has been part of F5. We have grown even more confident in the opportunity it brings to F5 than our customers. Shape's intelligent fraud and bot protection value proposition is resonating with customers across multiple verticals. For instance, in Q4, we secured a Shape win with one of the world's largest social networking platforms to protect the platform and its users from artificially generated influence caused by inauthentic behavior. Shape's ability to deliver a high degree of efficacy with high confidence and actionable intelligence was a key differentiator in this win. Shape also is available via our civil line managed services platform, which allows customers to benefit from Shape's capabilities with no integration work. We have secured several wins in a very short time frame. Thanks to this integration and the ease of implementation it brings. In fact, one recent integrated win takes Shape which is already installed on the majority of the top 10 US banks and extended to thousands of small and mid-size banks who are using civil line for their managed security needs. This is an example of one of the core premises of our combination with Shape. We are taking Shape's industry leading anti-fraud solutions and making them available into a much larger customer base at a time when customers are facing tremendous increases in both the volume and sophistication of attacks. Our fourth growth driver is continued growth in cloud deployments. Our FY 2020 cloud business total more than $100 million. Security use cases are playing an increased role as customers rely on F5 to ensure robust and consistent application security. Our cloud presence has been driven both by our organic investments in FY cloud services and through our partnership with the cloud providers. Our strategic collaboration agreement with AWS is just one example of a highly complementary cloud provider partnership. In addition to a co-selling motion, which is generating new leads for F5, AWS and F5 have co-innovated on programs and cloud native integrated solutions. Just last week we introduced a joint solution combining Amazon CloudFront and F5 Essential App Protect. CloudFront is a fast content delivery network or CDN service from AWS. F5's Essential App Protect, these are easy to deploy SaaS security solution for protecting web application. Integrating Essential App Protect and Amazon CloudFront securely deliver data, video applications and APIs to customers globally with low latency and high transfer speeds all within a developer friendly environment. We are leveraging the power of AWS to provide customers with application caching capabilities that reduce cost, strengthen security and increase performance and we are doing this in a single SaaS solution, which delivers higher long-term return on customers' application investment and a better experience for their users. This integration illustrates the power of our collaboration with AWS and we continue to explore how our two companies can come together to help customers deliver more value through their cloud applications. I would be remiss if I did not also speak to the opportunity we see with service providers. In general, service provider RFP activity is up from last year and quote request and informal activities are much higher. In addition, following our Rakuten win, we are beginning to see more movement and solid customer plans on their 5G strategy. At this point, we are engaged in multiple activities including trials with several customers. We have traditionally played a role as the preferred choice for Gi LAN solutions in 4G networks and we are well positioned to continue to own that segment and grow into new 5G functions. in fact, we have already secured multiple design wins in 5G architectures and we expect deployments to begin ramping in the second half of 2021. A few words on our systems business, before we wrap up. As Frank noted, we expect our systems decline to slow in fiscal year 2021 compared to fiscal year 2020 likely declining in the high-single digits. While there is a tendency to think that accelerated digital transformation means 100% software deployments, it does not always. Our business, whether the software or systems is tied to applications whether they are in the data center, the public cloud or anything in between. We are supporting mission-critical applications globally. Many of these applications are experiencing rapid growth because of remote working and rising e-commerce demand. With this growth comes escalating application security concerns including application fraud. F5 is there to help with whatever consumption model, our customers prefer. As we look ahead, we see a significant opportunity to enable our customers to bring extraordinary digital experiences to life. We are reducing our customers' operational complexity, improving their application performance, securing all apps, no matter where they live and unlocking valuable business insights. F5 has always been about solving our customers' most important application challenges. Over the last two years, we have built the broadest available application security and delivery portfolio for both traditional and modern applications. Our understanding and appreciation of our customers' rapidly evolving needs has also deepened over the last two years. Today, customers face exploding application growth and the reality that the baseline of user expectations from application has been redefined. Think of your own experience and how markedly it has changed. The richness of your favorite app experience, it is reliable, fast, personalized and trusted. How long do you wait if the application is slow? What do you do when an upgrade degrades your experience or worst yet the app fails altogether? Switching brand has never been easier. A large insurer in the industry were competitive advantage has not historically been included in applications told us that if their homepage does not load in under three seconds they lose the customer. A fast-paced digital world is just as fast to move elsewhere. Digital transformation has reset expectations for the experience an application must deliver to be compelling, to be competitive. Our customers need F5 to enable these rich experiences. And we have a unique position from which to help them to do so. We see a world where our customers' application portfolio adapt as needed, where it automates redundant processes for greater efficiencies and they protect itself securing all points of vulnerability. We would expand and contract based on performance needs, and we're by mining and harnessing application data, it gets smarter, more insightful, becoming self-healing and involving more quickly. F5 is uniquely positioned to deliver this vision, because of the portfolio and capabilities we have assembled. We are looking forward to speaking more about our vision for adaptive applications and how we are making it a reality at our upcoming Analyst and Investor Meeting. In closing, we have made significant progress pivoting F5 and changing the way customers feel. We have built the broadest available set of application security and delivery services, and expanded our total addressable market in the process. We are also successfully driving a more software-driven business and building a robust and growing base of recurring revenues. Let me wrap up our prepared remarks by thanking the entire F5 team again as well as our customers and partners. We are more confident than ever that our vision, our investments and our innovation are well aligned with both near and longer-term customer demand. With that operator, we will now open the call to Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Meta Marshall from Morgan Stanley. Your line is open.
Erik Lapinski: Hi, team, this is Erik on for Meta. Thanks for taking our question. Maybe just going back to the comments you made on service rider side. And just on that vertical, specifically, have you seen any change to order behavior that maybe matches with some of the other equipment providers have noted? And I know you noted some design wins for 5G, but wondering if that near-term has had any impact just being mindful of the percentage of revenue from that segment is a little bit lower than it has been traditionally?
François Locoh-Donou: Hi, Erik. The short answer is, no. We haven't seen a fundamental change, Erik. The percentage of our revenue, of our bookings that comes from service providers is basically in the same range it has been for the last few quarters. We are seeing momentum in 5G activity. But in terms of when that will turn into kind of meaningful contribution to our order book. We think that's more of a second-half of 2021, but we are seeing continued traction in security use cases with service providers and specifically our position as a consolidator of multiple functions, which is kind of a unique position that, I don't think you necessarily would see with other equipment providers in the telco. We have a unique position in consolidating a number of functions like CGNAT and DDoS and DNS, TCP optimization and increasingly our service providers virtualize their infrastructure. Our ability to consolidate all these functions in a software bundle is very appealing to them. And so that's a use case that is growing, but overall the business, the trends in the business has been the same over the last few quarters, so no specific change.
Erik Lapinski: Got it. Thank you. That's very helpful. And then if I could sneak in one more, just on kind of the stronger expectations on the hardware side moving forward, what would you guys point to is the strongest reason maybe some customers are still choosing hardware, are there any incremental drivers?
François Locoh-Donou: I think, Erik, the -- we've always said that we have a number of geographies that have -- that continue to grow in their consumption in hardware, form factors. And also a number of verticals where hardware form factors play an important role, including service providers, government, even financial services. But I think the difference today is our security has become a more important mix of our hardware business than it was, say, a couple of years ago and our hardware security business is not declining. And so when you factor that in, that leads to a decline in hardware systems that's abating and that's largely because of the mix of security that's in our hardware business today.
Erik Lapinski: Thank you. It's very helpful.
Operator: Your next question comes from the line of James Fish from Piper Sandler. Your line is open.
James Fish: Thank you, guys. Congrats on the great quarter. Couple of questions here. You're talking about the strength in application security. I guess, how do you feel about the portfolio as a whole, whether there are areas that you'd want to get at organically or inorganically? And any sense to how many customers are now using Shape Security?
François Locoh-Donou: Hi, Jim. So generally, we feel very good about our application security portfolio. We think we are one of the very, very few players who provide who can protect an application, but also protect how an application is used with a combination of F5 security capabilities and now Shape's portfolio. So we feel very good about our competitiveness and differentiation in this space. And, in fact, our security business had been growing healthily, but that has accelerated as well with COVID, because the amount of online fraud and tax on digital channels, not just for retailers, but all kinds of the companies has continued to increase and, in fact, has increased dramatically in the last few months and that's providing significant tailwinds for us. So that's the -- that's what we're at on app security in general. And Jim, we will probably say more about that at the Analyst and Investor Meeting.
James Fish: Got it. Fair enough. And end of last quarter, you guys noted some weakness in sort of the APAC sales due to COVID-19 and not being able to get in front of customers. How did this change as you work through the quarter?
François Locoh-Donou: I think in Asia-Pacific, Jim, we're still - we still have some geographies that are challenged with COVID-19. As you've seen, there has been some second wave and some lockdown. So there are some specific geographies where we have been challenged. The comment about some software projects that were put on hold, we - I think, that was throughout our Q4. That was still the case, but we're starting to see that abate and we feel very good about the pipeline we now have for the first-half of 2021. And in fact, we are, as you saw from the prepared remarks, we think our software business in Q1 of 2021 will grow faster than 50% year-on-year. And for the full-year, we think it will be greater than 35% year-on-year growth. So we feel that our software business really has -- we think we have turned an inflection point here where our software business is on a broader based of subscriptions and it's giving us some -- an opportunity for a number of true-forward opportunities on renewal. We've got a much broader base of subscription than we did a year ago. And as you see, the software business now more than 40% of our product revenue. So we generally feel that, while inflection point here where our software is going to continue to have very strong growth going into 2021.
James Fish: Makes sense. Thanks for the color, François.
François Locoh-Donou: Thank you, Jim.
Operator: Your next question comes from the line of Rod Hall from Goldman Sachs. Your line is open.
Rod Hall: Yes. Hi, guys, thanks for the question. I wanted to start off. You talked about enterprise order momentum being good. And I wondered if maybe you could dig a little bit more into that in terms of size of enterprise, are you seeing that more in margin enterprises or medium size? Can you give us some color there? And just kind of how that order momentum looks from a verticals point of view, too? And then on the growth, my second question is, I can calculate based on the parameters you gave, growth, it's a little slower than 20%, but I can also get up above 5% growth depending on some minor tweaks to that. And I'm just curious where do you think it's more likely growth does accelerate in 2021? And then what's your macro assumption there? Are you assuming macro improves? Or you assuming the current environment persists? I mean just curious kind of what do you guys think that demand environment will do on into 2021 in the context of that growth indication?
François Locoh-Donou: Hey, Rod, there were number of questions there. So I'll make sure I'll try and answer.
Rod Hall: Yes. Sorry, François. Thank you.
François Locoh-Donou: No worries.
Rod Hall: I'll repeat them, if you need.
François Locoh-Donou: Yes. I'll start from the end, you may need to repeat. Just on the macro to start there, Rod, our assumptions as the environment does not get better than it is today, but we've also assumed it doesn't get materially worse. So we have been in this environment in the pandemic for the last three quarters, and I think we've reported now three full quarters under this environment. And it's allowed us to take stock of what our customers are doing where their priorities are and we've taken all of that into account into our 2021 planning. So basically, we kind of assume status quo. Now as to the beginning of your question on enterprise spend, look, the verticals, there are two things that are important. As you saw, our enterprise numbers were actually pretty strong, and I think there are two things that are important there. Number one, the verticals that we are most exposed to as a company are - in enterprise are really financial services, technology and government. And in these verticals, the need for more applications, more application security and more multi-cloud deployments of applications has continued to be strong. The verticals where we have seen a lot of weakness, which are more the retail transportation, the verticals that are directly affected by COVID, they represent less than 10% of our business. So, yes, they are soft, but the impact on our business has been limited. And generally, we have very limited exposure to the small and medium businesses. So that's - in terms of the mix of the business, that's the reason. And I think the other reason where you see strong enterprise demand for us is our -- I think, there still is a perception out there that F5 is really a networking datacenter company. And so folks tend to look at our results and compare us to campus switching or routing type equipment. But the reality is, our spend is more tied to the need for customers to protect their applications with security and the need for customers to deploy more and more applications globally in multi-cloud environments. And so we -- our business is closer -- closely tied to the growth, complexity and security of applications than it is to kind of network dynamics. Have I answered it, Rod?
Rod Hall: And then, on -- yes, the only other one was the quantification of the growth. I -- if I add up kind of what you guys said, I can get to kind of a minimum growth rate of maybe 4%, but probably a little higher than that depending on where you think services grows, but I'm curious whether you see growth, you lean toward growth accelerating is the environment remains the same. Off of 2020 or do you think growth just kind of remains the same, or maybe it's a little worse. I'm just curious, which direction you think growth is going in 2021 if all other things held equal.
François Locoh-Donou: Look, Rod, I think, so we're not -- we're not giving a full year top line guidance here. We will give a view of our Horizon 2 guidance in three weeks at AIM. So I think you'll get a little more color there. I would just say that generally based upon what we've seen in Q4 and our Q1 guidance. I think we feel good about what we could achieve and 2021.
Rod Hall: Okay, great. Thanks, François. Appreciate it.
François Locoh-Donou: Thank you, Rod.
Operator: Your next question comes from the line of Sami Badri from Credit Suisse. Your line is open.
Sami Badri: Hi, thank you very much. The first question I have is related to the software strength in the quarter and I know, François, you made a couple of very granular examples in the drivers of cloud that we saw in the quarter that really drove solid results and are going to continue to be solid results. But when we think about the composition of product revenue and software revenues, is there any high concentrations on specific customers or was there any lumpy activity in the quarter? And then to take that a step further, does the fiscal 1Q 2021 also factor in lumpiness or concentration that are driving these solid results?
François Locoh-Donou: You know, Sami, the answer is no. And actually that is precisely why I see that we have reached an inflection point in our software so if you look at our software results a year ago, we had pretty strong growth. If you remember, in Q4, we had 91% growth, but that was in part driven by a couple of large transformational kind of deals. The results we have this quarter are really not. So it's a broad base of adoption of our software and our software subscription. You probably saw that in our results. Now, more than three-quarters of our software revenues or 76% of our software revenues this quarter came from subscriptions. And so we've got a broad based on adoption of our software subscription consumption models across all of our verticals, not a specific customer, not a specific vertical and that's part of why we have confidence in growth in our software, because more now a larger number of customers have reached that point where they're thinking, our software and it's giving us a broader base of renewal opportunities going into 2021. We're starting to see the flywheel that you would see in a subscription business, where for a number of our multi-year subscription, we have a true-forward opportunity at the end of a one year subscription across a number of customers and that's going to start contributing to the growth in our software, so that's what I would say about lumpiness. I would say though that we are also seeing a good pipeline of, I would say these larger projects going into the first half of 2021, some of the projects that have been delayed, we think we'll see some of them in the first half of the year.
Sami Badri: Got it. Thank you for that. And then one question for Frank. I was hoping you could just help us think about the services growth rate of fiscal 1Q 2021? Is there a way we should be thinking about at it, something similar to the last two quarters kind of guidance framework, any kind of real clarification on that would be great.
Frank Pelzer: Yes. I'm not going to give a specific growth rate number, we'll have more to say as François said at AIM. I think the trend towards lower single-digit growth rate is likely in FY 2021. And so this is just consistent with the hardware, software attach rates, but we have been seeing consistent pricing, we've been seeing an increase in attach rates for all cohorts of the age contracts and so we're really happy with the overall services business.
Sami Badri: Great, thank you. Solid results. Thank you for fitting in my questions.
François Locoh-Donou: Yes. Thank you, Sami.
Operator: Your next question comes from the line of Alex Henderson from Needham. Your line is open.
Alex Henderson: Thank you very much. So, we've heard a number of bars and other people in the industry to talk about the emergency spending type orientation to IT spending, particularly around security, particularly around work from home, endpoint security and the like. What they've also said though is that, some of the transition -- transitional programs, things that more strategically important, those programs have been delayed and pushed out somewhat. As a result of the temporary focus on, and we've got to make sure that everything secure from work from home. Are you starting to see any real clarity around some of those larger projects coming back in, particularly around digital transformations to cloud orchestrated application deployment and Kubernetes adoption? Or alternatively, is that still something that's a little further out in the headlines?
François Locoh-Donou: Alex, I think so, the large kind of digital transformation projects, first of all, I would echo what you've said, we have seen a delay in some of these transformational projects, but we are also seeing people have tended to the immediate priorities and they are now coming back to these projects and starting to reignite them. So I think -- that's why I think in the first half of 2021, we should start to see some of these projects actually come to be -- to be realized. And that's what I've said there, applies to generally kind of digital transformation, movement to cloud, software first environments, big automation projects. Those types of projects. When you speak specifically to Kubernetes environment, I think what we're seeing, there is a lot of kind of excitement around taking this Kubernetes environment in production at scale. I think we're still in the very early innings of that. We've got a very good window into that with Nginx, as you know in Nginx is the number 1 egress controller into Kubernetes environment and deployment. And so we are seeing demand there and we're seeing an acceleration. But we still think we're in the very early innings of those types of containerized deployments.
Alex Henderson: And then just one last question for me, just going back to the 35% plus growth in software, can you parse that between what portion of that is organic and what portion of that is inorganic?
François Locoh-Donou: Well, no, but the -- I think we've given information about the contributions of Shape in our Q3 and Q4. So you could do some of that information to kind of try and parse out, what's organic and inorganic. Remember that Shape was not part of F5 in Q1 of 2020, but pretty much from Q2 onwards, they were part of F5 last year. So the 35% is the overall growth rate. We -- and that's kind of the minimum we think we'll do. We think it's likely, we would do better than that. Overall, given the drivers that I've spoken to on Nginx, the acceleration I just mentioned that we're seeing there in this Kubernetes environment, what we're seeing in the cloud, Alex, I don't know if you pick that up in our script, but we have a -- about $100 million, our cloud business has now exceeded $100 million. We've got the partnership with AWS which continues to go very well. We announced last week a product integration with AWS -- in AWS CloudFront, which we think will be a catalyst and I talked about the broad base of subscriptions, that will drive organic growth next year. So overall, I think the software business is in acceleration phase and we're happy with that.
Alex Henderson: Thank you very much. Great quarter.
Operator: Your next question comes from the line of Tim Long from Barclays. Your line is open.
Tim Long: Thank you. Yes, two quick ones, if I could. First, just curious, if you could talk a little bit about revenue synergies from both in Nginx and Shape. It sounds like Shape had a pretty good quarter. And there is a lot of traction for Nginx. But if you can kind of let us know where we are on that synergy basis and how much more room there is for cross-selling there? And then second question is, just want to get into a little bit of the kind of the BIG-IP moderating on the hardware side, but good traction on the software side, could you talk a little bit about, I guess there has been, there had been cannibalization. So do you think we'll start hitting a point where it's a lot more driven by newer workloads on the BIG-IP software side, so that the sum of those two could be more positive than maybe it was when there is just some hardware to software replacement. Thank you.
François Locoh-Donou: Hey Tim, thank you. Let me start on Shape and Nginx. And Tim, we will see more about that at AIM in a few weeks, but a few highlights for you in terms of the synergies. What we are seeing is that the deal sizes on both Nginx, so our engineers has been part of F5 for 18 months and Shape has been part of our nine month. What we are seeing for both is a substantial increase in the average deal size of the result of the F5 go to market capabilities with Nginx and would Shape and also an acceleration of essentially new logo acquisition for both organizations. And so the combination of Nginx, go-to-market and F5 is yielding these results. And so the monetization of the platform is better with the Shape, we only have nine months of runway, but we're seeing exactly the same trends. Now in terms of product synergies, as you know when Nginx came as part of F5, they were really early into monetization of the platform, very powerful platform, but early monetization. We've now just released two new solutions, the Nginx controller and the up security called Nginx App Protect, which are early days, but getting traction and will substantially also increase the deal size with Nginx. So new products coming to accelerate monetization. And then on Shape, we have moved extremely quickly to build integrations between Shape and BIG-IP, and Shape and our silver line offering. So for example, we now offer the Shape bought defense technology as a managed security service on top of the WAF and DDoS bundle that already existed in our Civil managed security service and that has already accelerated civil line business in the last quarter. So we're very excited about what's become there and I will touch on that again in a few weeks. Now on to your question about BIG-IP, Tim, I think the -- you know what we are seeing there is I think the hardware, If you think about it, the hardware load balancing business, we think that's going to continue to decline. But increasingly our hardware business is driven by either standalone security hardware or bundles of security and ADC together and our stand-alone Security Hardware business is not declining, but it's a bigger mix of our total hardware business. And the result is you're seeing that that decline of hardware, which was in the 11%, 12% we think next year is going to be in the high single digits. So that's where -- and then to your point on cannibalization, I think we will continue to see more customers that are ADC customers adopt a software first approach both on-prem and in the cloud, and that's why we're -- we're continuing to forecast declines in overall hardware.
Tim Long: Okay, thank you.
François Locoh-Donou: Thanks, Tim.
Operator: Your next question comes from the line of Samik Chatterjee from J.P. Morgan. Your line is open.
Samik Chatterjee: Hi, thanks for squeezing me in here. François, if I can just start with getting some color from you on the traction you're seeing for Shape. You talked about the opportunities that you're seeing. Can you just talk about whether you're seeing kind of this adoption happening just because there is more need for security solutions or are you replacing any existing solutions and how do we get comfort around not seeing like a wave of vendor consolidation and security, once we get post kind of COVID planning from the customers, and I have a follow-up. Thank you.
François Locoh-Donou: Hi, Samik. Could you explain that last bit around concern of seeing a wave of consolidation.
Samik Chatterjee: What I was trying to get to is, we've had a lot of momentum here for the security vendors overall. So once we get post COVID planning from the enterprises, do we see kind of more consolidation and the number of security vendors like most enterprises work with.
François Locoh-Donou: Yes, I think what we're seeing and what you'll continue to see Samik, is that most large. So remember that F5 really is most exposed to kind of large enterprises and both large enterprises and service providers increasingly want to use a best-of-suite approach. So our approach to them is to offer a combination of application security technologies that allow their applications to stay online, so stay secure and allow us to protect the data and logic of these applications. And that overall suite for application security is not a component. It's not a single slice of application security. It's essentially the broadest application security portfolio that you can have. And so...
Operator: Ladies and gentlemen, this is the operator. I apologize for there'll be a slight delay in today's conference, please hold until we reconnect the speakers' line. The conference will resume momentarily. Again, ladies and gentlemen, this is the operator. I do apologize for the slight delay in today's conference. Thank you for your patience. The call will resume momentarily. Ladies and gentlemen, our speakers have rejoined us, and we still have Samik Chatterjee in queue for question.
Samik Chatterjee: Hi, François.
François Locoh-Donou: Samik, sorry about that. Our line was dropped. And did you hear the first part of the answer?
Samik Chatterjee: Yes. So, overall [ph] services. Yes, yes. So if I can just follow-up maybe for Frank quickly, because I know you're also up on the hour here. Just looking at the operating margins here, Frank, when the Shape acquisition was announced with prior to that, you were looking at about 33% to 35% operating margin. Now, you're guiding to about 31%, I think from next year, when I think about the delta there, is it primarily Shape or do you think there is kind of the environments that have had an impact on this? And thank you for taking my questions.
Frank Pelzer: Sure, absolutely. So yes, Shape accounted for the large majority of that. And I think Shape talk about 30% to 32%. We ended up on the low end of that range to make, and as always to get back above 31% for the fiscal 2021.
Samik Chatterjee: Thank you.
François Locoh-Donou: Thank you, Samik.
Operator: And your final question comes from the line of Jeff Kvaal from Wolfe Research. Your line is open.
Jeff Kvaal: Thank you. I guess I have a question for you, François, one for you, Frank. François, I'm wondering if you could sketch out a little bit for us. Now that your security portfolio is well integrated, where do you find yourself having the most success in security and where do you find some of your, your rivals to involve, do you run into Zscaler etcetera, etcetera. And then, Frank for you, I'm wondering if you could help us a little bit understand sort of the thinking behind the buyback. And what we might expect in the coming year from that?
François Locoh-Donou: Yes, Jeff, so let me frame where we're having success and security. Number 1 is in application security. So we're not -- our focus is not on the endpoint security or really network security per se, our focus is on protecting applications and we're seeing that increasingly the most sophisticated attacks go through application, the sources of more breaches and incidents come from vulnerabilities in applications, and that's our focus. And we have now put a portfolio together, that is not only a single solution for application security. It's a suite of solutions for application security. And there are very few players that really provide Web Application Firewall, DDoS, remote access as well as bought and fraud protection and protecting not just how an application is accessed, but how the application is used, and protecting against module and behavior of that. And if you look at where we are having success with our portfolio, it's in the large enterprises. So, financial services, as you can imagine a lot at stake in terms of securing these applications and the digital interactions with our customers. But the same technology, some of the large, the largest social media platforms in the world are protecting -- protected by F5 and Shape, and we're seeing the same, the same kind of success in government and service providers. So that's the verticals where we get success and the types of solutions where we got a lot of traction.
Frank Pelzer: And then, Jeff, on the buyback, it's the same as it's been, it's certainly one of the uses of our strategic cash that we see. The other two uses are potentially M&A as well as paying down our Term Loan A that we took out to acquire Shape. And so those are the three things that we're focused on. You saw in the last quarter that we did another $50 million of share repurchase and will continue to be opportunistic on that going forward.
Jeff Kvaal: Okay, that sounds great. And I will look forward to more detail on the security progress in a few weeks. Thank you.
Frank Pelzer: Thank you so much, Jeff.
Operator: Thank you for attending today's call. You may now disconnect.